Operator: Good day, ladies and gentlemen, and welcome to the First Quarter 2015 Verint Systems Earnings Conference Call. My name is Phillip, and I'll be your operator for today. (Operator Instructions) I'd now like to turn the conference over to your host for today, Mr. Alan Roden, Senior Vice President of Corporate Development. Please proceed, sir.
Alan Roden: Thank you, operator, and good afternoon and thank you for joining our conference call today. I'm here with Dan Bodner, Verint's CEO and President, and Doug Robinson, Verint's Chief Financial Officer. By now, you should have seen a copy of our press release that includes selected financial information for our first quarter ended April 30, 2014. Our Form 10-Q will be filed within the next few days. Each of our SEC filings and earnings press releases is available under the investor relations link on our Web site and also on the SEC Web site. Before starting the call, I'd like to draw your attention to the fact that certain matters discussed on this call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and other revisions of the Federal Securities Laws. These forward-looking statements are based on management's current expectations and will not guarantee the future performance. Actual results could differ materially from those expressed in or implied by these forward-looking statements. The forward-looking statements are made as of the date of this call and except as required by law, Verint assumes no obligation to update or revise them. Investors are cautioned not to place undue reliance on these forward-looking statements. For a more detailed discussion of how these and other risks and uncertainties could cause Verint's actual results to differ materially from those included in forward-looking statements, please see our Form 10-K for the fiscal year ended January 31, 2014 or Form 10-Q for the fiscal quarter ended April 30, 2014 when filed and other filings we make with the SEC. The financial information discussed today is primarily non-GAAP. A reconciliation of the non-GAAP financial measures to GAAP measures is included in today's earnings release as well as under the investor relations link on our Web site. Non-GAAP financial information should not be considered in isolation or as a substitute for GAAP financial information, but included because management believes it provides meaningful supplemental information regarding our operating results when assessing our business and is useful to investors for informational and comparative purposes. The non-GAAP financial measures the company uses have limitations and may differ from those used by other companies. Now, I'd like to turn the call over to Dan. Dan?
Dan Bodner: Thank you, Alan. Good afternoon, everyone, and thank you for joining us to review our first quarter performance. We are pleased to report that we started the year very strong with broad strength across many areas of our business. We delivered $269 million of revenue and $0.72 of diluted earnings per share. Driving the first quarter result is our focus on innovation, competitive offerings and extending portfolio of Actionable Intelligence solutions, which help customers gain crucial insights from vast amounts of data. Our financial results in business activity for the first quarter have made us more optimistic about the year, and we are raising our annual guidance, which we will discuss later in more detail. Now, I'd like to provide some first quarter highlights. Our combination with KANA has been very well received as customer see significant value in our vision for customer engagement optimization. Integration of KANA into our Enterprise Intelligence segment is progressing well. Given that we closed KANA during Q1, we're still able to provide Q1 revenue separately for KANA. As we continue to integrate the business to realize the full benefits of the combination over time we will report the businesses as a single segment. In our Enterprise Intelligence segments, we achieved revenue of $167 million representing 47% year-over-year growth. Excluding KANA, enterprise revenue was $126 million representing 11% year-over-year growth. KANA's business also achieved double-digit year-over-year growth. We believe we have become a more strategic partner to our customers providing industry broader portfolio of customer engagement solutions. I'd like to share with you some recent customer anecdotes regarding the progression of our suite strategy as well as the positive impact of the combination. We received $3 million in orders from an existing payment services customer. This customer has previously deployed our call recording and quality monitoring solutions, and is now expanding the Verint's suite by adding our speech analytics solution. We received a $3 million order from an existing financial services customer that is expanding its workforce optimization suite across its business and upgrading components to the latest version as part of its customer engagement optimization program. We received a $2 million expansion order from an existing technology services customer for multiple modules, including our agent desktop, knowledge management and case management solutions as part of its initiative to provide a consistent level of customer service across its operation. And we received $2 million in orders from an existing financial services customer in connection with this customer engagement optimization initiative, allowing them to unify the agent desktop to engage customers in a consistent and efficient manner. We believe this order reflects a market trend for purchasing applications in the form of integrated suites and the trend towards customer engagement optimization and that we are very well positioned to address these trends. Turning to the security intelligence market, we continue to expand our security portfolio of Actionable Intelligence solutions, including communications intelligence, cyber security, homeland security and situation management. As we've discussed on past calls, cyber security is a high growth opportunity for Verint. In a world of increasing connectivity, organizations are looking for innovative solutions to protect against malicious malware and sophisticated cyber attacks. To address this opportunity over the last several years we've been developing an Actionable Intelligence cyber security solution that leverages our core competency in big data intelligence and the insights we've gained from working with security customers around the world. In this regard, I'm very pleased to announce that during Q1, we were awarded an order of more than $100 million for Actionable Intelligence cyber security solution. We expect this large project to be deployed over three fiscal years, starting this year with the majority of the revenue to be recognized over the next two fiscal years. [No] (ph) revenue from this nine-digit order was recognized during Q1. In addition to the cyber security order, I'd like to highlight three other large orders. During the quarter we received an order in excess of $20 million from a new government customer and an $8 million order from an existing government customer for our communication intelligence solution. In video intelligence, we received $7 million in orders from a financial services customer to secure its branches, mitigate risk and reduce fraud. We believe these large orders reflect demand from innovative Actionable Intelligence solutions across a number of important areas of security and we're well positioned to address these demands with a broad portfolio of security solutions. In summary, we're pleased with our strong start to the year. We achieved double-digit revenue growth year-over-year both with and without the contribution from KANA. From a segment perspective, we experienced broad strength and achieved double-digit growth in both our Enterprise Intelligence and communications in Cyber Intelligence segments. And we had strong business activity with a number of large orders, including an order for more than $100 million in cyber. With Q1 behind us, our confidence in the year has improved and we're raising guidance. For the year ending January 31, 2015, we're increasing our non-GAAP revenue guidance by $30 million and increasing our non-GAAP earnings per share guidance by $0.10. Our new revenue guidance for the year is a range of 1.11 billion to 1.16 billion, and our new diluted earnings per share guidance for the year is a range of $3.30 to $3.60. As we look ahead, we look forward to continue growth and market leadership leveraging our Actionable Intelligence foundation to address customer engagement optimization, security intelligence and fraud, risk and compliance. And now, let me turn the call over to Doug.
Doug Robinson: Yeah. Thanks, Dan, and good afternoon everyone. Most of our discussion today will focus on non-GAAP financial measures. A reconciliation between our GAAP and non-GAAP financial measures is available, as Alan mentioned, in our earnings release and in the IR section of our Web site. Differences between our GAAP and non-GAAP financial measures include adjustments related to acquisition, including fair value revenue adjustment, amortization of acquisition-related intangibles, certain other acquisition-related expenses, stock-based compensation as well as certain other non-cash or nonrecurring charges. I'll start my discussion today with the areas of revenue, gross margin and operating margin. In the first quarter we generated 269 million of revenue across our three segments with 167 million in Enterprise Intelligence, 76 million in Communications Intelligence and 26 million in Video Intelligence. This compares to 205 million of total revenue in the first quarter of the prior year with $113 million in Enterprise, 63 million in Communication and 29 million in Video. In terms of geography, in Q1 we generated a 142 million in the Americas, 76 million in EMEA and 51 million in APAC. This compare to approximately 111 million in Americas, 42 million in EMEA and 52 million in APAC in the first quarter of the prior year. We're particularly pleased with the revenue growth in EMEA. Q1 gross margins were 66.3% compared to 68.6% in Q4 and similar to 66.4% in Q1 last. As we've discussed in the past, due to product and revenue mix within or across segments and particularly within the security business, overall gross margins can fluctuate significantly from quarter-to-quarter. During the first quarter we generated operating income of 51 million with an operating margin of 18.9% compared to 37 million with a margin of 17.9% in Q1 last year. Q1 year-over-year operating income increased 39% higher than our 31% year-over-year increase in revenue. Our EBITDA for the quarter came in at 56 million or 21% of revenue versus 41 million or 20% of revenue in the prior period. Year-over-year, EBITDA increased 37%. Now, let's turn to other income and interest expense. In the first quarter, other expense net totaled 6.4 million, reflecting 10.1 million of interest expense partially offset by 3.2 million gain from foreign exchange, driven by inter company balance sheet translation. Our cash tax rate was 9.6%. As we've discussed previously, we expect to enjoy a low cash tax rate for several years due to our NOLs and the amount of income generated in low tax rate jurisdiction. At quarter end we had 55 million average diluted shares outstanding. These results drove diluted earnings per share of $0.72 for Q1. Now, let's turn to the balance sheet. As of April 30, 2014 we had approximately 243 million of cash in short-term investment including restricted cash. Q1 cash flow from operations on a GAAP basis came in very strong at 54 million more than double to 26 million in Q1 in the prior year. We ended the quarter with total debt of approximately 1.03 billion and net debt of approximately 787 million. Our strategy with respect to our debt continues to be to access the capital market opportunistically. In that regard during the quarter concurrent with the KANA financing we refinanced our existing debt to a rate of 2.75% over a 0.75% LIBOR floor, reducing our annual interest rate by 50 basis points. Before moving to Q&A I would like to discuss our increased guidance for the year ending January 31, 2015. We expect non-GAAP revenue to be in the range of 1.11 billion to 1.16 billion. For the remainder of the year following a very strong Q1, we expect non-GAAP revenue to gradually increase from Q1 levels, however, margins may fluctuate quarter-to-quarter because of the revenue mix and the timing of expenses. In that regard, well, we had a favorable Q1 revenue mix, we expect the mix in Q2 to be less favorable and as a result we expect operating margins to decrease in Q2 from Q1 levels and then increase sequentially in both Q3 and Q4. The 30 million increase in our revenue guidance drives 280 million EBITDA at the midpoint of our revenue range. We expect our quarterly interest in other expense excluding the potential impact of foreign exchange to be approximately 10.5 million. We expect our non-GAAP cash tax to be approximately 10% reflecting the amount of taxes we expect to pay this year. Based on these assumptions and assuming approximately 55.6 million average diluted shares outstanding for the year, we expect non-GAAP earnings per share in the range of $3.30 to $3.50. The mid point of our EPS guidance reflects 20% year-over-year growth. In conclusion, we are pleased at the execution of our strategy, our expanding portfolio of Actionable Intelligence solutions and strong competitive position, and believe we are well positioned for continued growth. This concludes our prepared remarks. With that, operator, can we open up the line for questions?
Operator: Of course. (Operator Instructions) And our first question comes from the line of Daniel Ives from FBR Capital Markets. Please proceed.
Jim Moore - FBR Capital Markets: Yeah. Hi, guys. This is Jim Moore in for Dan. Great quarter, first off. Secondly, could you maybe give us a little more color on what was driving your organic growth? It's definitely [below] (ph) expectations and is it purely the suite that's really gaining traction as well as just more demand for the analytics, if you could give us a little color there?
Dan Bodner: Yeah. Hi, Jim. So we believe that the growth drivers that we mentioned before, which is the suite as well as the combination with KANA which we're now driving the customer engagement optimization, that's a broader message and I think customers like the vision that we are creating. But I think it's for -- it's attributed to better execution focus. And now with KANA behind us with one quarter of very positive results, we feel we have a good start for the year.
Jim Moore - FBR Capital Markets: Okay, great. And then maybe if you could just talk about what you guys are seeing in terms of the pipeline from one of those cyber deals, maybe over the next year or two? Thanks.
Dan Bodner: Yeah. As we discussed in last call, we are targeting customers that have large and complex environments that are looking for very sophisticated solution for cyber security. So naturally we are targeting multimillion dollar deals and we have a number of deals in the pipeline obviously getting their more than $100 million deal is a very strong validation of our approach, and we are very pleased with that. It's hard to predict the size of the deals, but in terms of ASP and cyber, our strategy is not to sell point solutions to customers, but to sell more of a platform. We do offer an open platform that can scale to very large network environment and we hope to win more deals and we hope to announce the multimillion dollar deals.
Jim Moore - FBR Capital Markets: Great. Thanks very much.
Operator: (Operator Instructions) And our next question comes from the line of Michael Nemeroff from Credit Suisse. Please proceed.
Michael Nemeroff – Credit Suisse: Thanks for taking my questions. Nice quarter, guys. I just want to maybe drill down on that $100 million cyber deal. What exactly does that encompass? I know you said it's a three-year deal, but what products services specifically will that 100 million cover?
Dan Bodner: Yeah. Hi, Michael. So offering in cyber security is a platform approach and a platform that can scale and in this particular case we just got a big order for large scale solution. What the platform does is it provides capabilities in terms of advanced threat protection, so detecting sophisticated threats, malware that is embedded in the network. Unlike maybe many cyber security companies that are developing solutions to prevent malware to get through the perimeter, our approach is to identify malware that is already existing in the network and envision to threat protection and prevention, we are offering a suite of investigative tools. So it's the ability not just to identify the malware and eliminate it, but also to try and find Actionable Intelligence regarding who is behind that malware. Who is trying to attack the network and for what purpose are they trying to steal intellectual property? Are they trying to do damage? So sophisticated customers, we believe there is a cyber war going on and like any war we hear from customers they are looking for Actionable Intelligence and they want to understand the nature of the attack and how to prevent, eliminate and defend themselves from future attacks. So in a nutshell we sell a platform, it has a lot of capabilities. And as it scales, it's also a larger project.
Michael Nemeroff – Credit Suisse: That's really helpful, Dan. Just a couple of more questions about that deal, how long was that deal in the pipeline? How long did it take from start to finish? Also, if you could -- I assume that that's a public sector customer, and then also maybe for Doug on that deal, what we could expect the margin profile of that business to look like both initially and then longer term in years two and three?
Dan Bodner: Yeah. It's still areas worth of trying and identify what is the sales cycle for cyber deals. As we know we've been discussing with customers our capabilities for over a year now. We are now hiding the fact that we are new to the market. At the same time we have strong customers on our Actionable Intelligence platform. So I think that in the future I expect sales cycle to shorten as we get more credibility in the market, but initially we have to spend time getting people to understand what our Actionable Intelligence platform can do in the cyber security domain, which is I guess surprisingly not that different that what we do in Customer Intelligence or any other Actionable Intelligence software. It's about collecting a lot of data, cleansing that data, analyzing the data, finding the important insights from their data, and in the case of cyber security it's about what is the nature of the cyber attack and how to defend against it. In terms of margins, the overall margin profile will not be much different. So we don't expect that to change the overall profile, margin profile of Verint. And in terms of the timing we mentioned that we will not recognize anything in Q1 and we are starting to incrementally recognize in Q2 and forward into this year, but the majority of the -- because we need to ramp up the majority of this order will go into next year and then into the following fiscal year.
Michael Nemeroff – Credit Suisse: Thanks, Dan. And then just one last one, if I may, what were your expectations for KANA coming in terms of the revenue contribution, just trying to gauge clearly or was it stronger than we expected than most everybody expected. I was just kind of curious as to what drove the increase in KANA especially at a -- was it pulling in revenue that you didn't think that you're going to be able to recognize as quickly as that happened or is this just the business outperformed?
Dan Bodner: Yeah. That's a good question. So we talked about, last quarter, we talked about expecting KANA to range between $140 million to $150 million for the year. Obviously we got it to about $40 million in Q1 which is very strong and also I had to mention KANA actually at double-digit growth. We spoke about if we expect KANA to achieve double-digit growth over time, we are very pleased that they have -- we are able to do that in our first quarter together. A different time, our enterprise segment results, KANA also achieved double-digit growth. So it looks like it's early to say, but it looks like there is a positive impact on the two businesses. We do have an overlap about 35% of the KANA customers are also Verint customers, existing customers and obviously the other 65% of KANA customers are prospects for Verint. So the sales cycles are longer than just one quarter, and obviously we are starting to integrate and we are going into tighter and tighter integration over time. But the reports we get from customers is that they like the story. I think industry analysts also like the story. So obviously the customers already have those 35%. They already have Verint in KANA, are more excited to learn about how they can leverage each other. But I think generally as what I said before to Jim, it's with strong execution we ran the sales force, it was very motivated and we had customers who were looking favorable at the deal. And when you have the combination of so many things then you drive results.
Michael Nemeroff – Credit Suisse: That's helpful, Dan. Thanks very much for taking my questions, and again, nice results on the quarter.
Dan Bodner: Sure. Thanks, Michael.
Operator: It looks like our next question comes from the line of Brian Ruttenbur from CRT Capital. Please proceed.
Brian Ruttenbur - CRT Capital: Thank you very much. A couple of questions, first of all on traction that you are getting as it looks like you are getting a lot of traction that seems to be what a lot of us are asking about. Is this traction as a result of some issues, I know they had some management changes and some other things. In fact who your main competitor is out there and who you are pumping up against and you are gaining traction against?
Dan Bodner: I think we are getting good traction, but they are competitive in certain areas. I think and Brian, you have been following us for a long time and you know after we are able to separate from Comverse we started to work on a strategy. We spoke about increasing our TAM, our addressable markets from 3 billion to 6 billion. And once we started to look at the broader market we added a lot of solutions to cyber. We added organically, KANA is bringing our capabilities inorganically, but it's not just adding capabilities to all parts of strategy. And I think as we extend our strategy we are able to separate away from our legacy competitors. Obviously we have now some new competitors that we didn't we have before, but that's expected with a big addressable market, but more importantly we are very excited about the fact that we have the tools to compete in a larger market. We become more strategic to our customers. And when we sell we can sometime get some very large contracts because we have a lot to offer.
Brian Ruttenbur - CRT Capital: Let me ask some more questions just on R&D and SG&A going forward R&D was around 41 million, quarter SG&A a little bit over a 100 million. I'm assuming the quarter from this first fiscal quarter to the second fiscal quarter and third we should see a bump down in those numbers. Is that the right selection directionally that those operating expenses should be there?
Doug Robinson: Hi, Brian, this is Doug.
Brian Ruttenbur - CRT Capital: Hi, Doug.
Doug Robinson: Yeah, hi. Well, I think if you look to remodel and factor in mid point of our range and even mid point of our EPS and we are looking to drive EBITDA around 280. You can see that the KANA operating expenses are coming up a little bit in total, the second half of our year tends to be a stronger year particularly in the top line, but that's really where we drive some margin where that revenue goes up and the operating expenses go up just a little bit. So we are expecting to get back to strong margins for the overall year.
Dan Bodner: Yeah. So let me give you some more specific how we think about our -- your questions about the rest of the year. So we just increased guidance by $30 million of revenue and that's driving another $5 million EBITDA. The reason we increased the guidance, first, we overachieved in Q1 that's (indiscernible), but we also have an improved outlook on the enterprise segments with -- now that we have double-digit growth in with and without KANA. The cyber deal will contribute revenue this year, it's not all going to be incremental, some of the cyber revenues were already baked into the year, but this is obviously a little bit of improvement. So that's part of raising guidance and of course we that mentioned before the EMEA numbers, EMEA as we expected is improving and we had a great EMEA quarter in Q1. So all these four reasons are behind our increased guidance and as we think about expenses and so on, if you look at last year EPS was 40% of our sole EPS came in H1 and 60% in H2. So that's not going to be much different this year. We expect 40-60 also this year. And in terms of the -- Doug mentioned that revenue will improve gradually. So we have -- usually we have a strong Q4, so we could expect small sequential improving Q2 and then more in Q3 and more in Q4 and margin will fluctuate, again, Doug mentioned that depends also on product mix and we expect margin to come down in Q2 and then increase in Q3 and Q4. And then finally, my final point is that midpoint of our guidance is 1,135 million and this represents excluding the range for KANA that we gave [retributions] (ph) about 9% growth. And then if we achieve the top, the high end of the range is 11-60 excluding KANA that will be 11%. So we are moving into higher growth rate with and without KANA and obviously we want to invest to drive the business especially sales and services to continue and generate growth into the future. I hope a long answer, I hope it's helpful.
Brian Ruttenbur - CRT Capital: Okay.
Dan Bodner: It looks, Brian, we lost you.
Brian Ruttenbur - CRT Capital: All right. Thank you.
Dan Bodner: Okay.
Operator: (Operator Instructions) And your next question comes from the line of Hugh Cunningham from Oppenheimer & Company. Please proceed.
Hugh Cunningham - Oppenheimer: Thanks for taking my question. Congratulations on a strong quarter guys. Could you talk a bit about how you see customer engagement optimization sort of evolving? Are we been through sort of a number of, I guess you call them strategic buzzwords as -- has sort of grown. And now it looks like customer engagement is sort of the focus of a lot of your customers and for you also. How do you see customer engagement evolving? How do you see the Verint KANA product set sort of evolving to meet the needs in this area. And then, are there any sort of any capabilities that you need to develop or maybe even acquire to get to where you think customer engagement optimization will be in, say, five years?
Dan Bodner: Right. So, Verint historically it was focused on smaller segments, which we call workforce optimization with tools to provide Actionable Intelligence for the workforce and also to analyze interactions between the workforce and the customers. With the addition of the KANA capabilities, we are morphing into customer engagement optimization, because not only we're able to -- as we did before to do the workforce optimization and interaction enrichment, but we also have now the ability to provide our customers with customer intelligence and capabilities such as agent-based desktop and knowledge management self-service for omni-channel service. So these are all new capabilities that position us into a broader addressable market, and that is customer engagement optimization. Now, what is the difference between a [definitive] (ph) buzzword? What is the difference between customer engagements? It's really what was always CRM, and CRM has -- there is sales CRM and marketing CRM and then there is customer service CRM. So, for many, many years it was an attempt to innovate in this area to help organizations maximize revenue, but -- from customers, but also decrease across their costs and increase the customer loyalty and reduce the risk and fraud associated with interactions. And those objectives did not change, but the market did change. The consumers are changing their behaviors. There is omni-channel experience. They call the email to chat, they go into web, they visit the branch and they expect similar customer experiences. They also expect more individualized responses, and with mobile devices and the web customer now are much more capable of switching over to a different vendor if they don't like customer services. So I think that the industry is moving towards more focus on customer service and not only reducing cost of customer service, but also making sure they improve the customer loyalty and maximize the revenue from customers and reduce risk. And to that, to achieve this objective we need Actionable Intelligence. We need not just to make the transactions, but also to have predictive analytics to understand what's the next step action that the agents will take, how do you take actions to maximize the opportunity that the customers represent when they interact. With that behind the customer engagement optimization concept, we bring a suite of tools and now with the addition of KANA our capabilities to improve the workforce, improve the customer experience and reduce the cost while increasing revenue for our customers, that's a truly transformational change and we're seeing more and more customers buying into this concept and looking to consolidate what they had before, which is many, many point solutions from a lot of different vendors as well as homegrown solutions with the tendency to consolidate that into a suite that can achieve those objectives more effectively.
Hugh Cunningham - Oppenheimer: Okay, thank you. Just one follow-up, we had talked in the past about the suite of products, both the products that you offer and the progression of your customers from single package within the suite towards taking up the entire suite and what that would do in terms of incremental revenue for you. Can you talk maybe a bit about the potential, the combination now with KANA, how does that adjust your -- I know you've expanded your TAM, but can you talk about how it adjust maybe the progression or the expected progression of your customers from where they are now to where they might be in three, five years?
Dan Bodner: Yeah. So, the Verint and KANA portfolio basically are targeting the same buyers. So Verint has a suite strategy of selling a module and then expanding into more modules. KANA basically has the same strategy, because they also have multiple modules that they gradually install into their base and all these combined we had -- we now have a much bigger set of modules that we can sell over time. In terms of quantifying this, it is very -- from a very strategic point of view, you can think about it as with Verint, the Verint suite on a per-seat basis, maybe represent a $1500 per-seat opportunity. And with the KANA capabilities on top, this could grow to about $2500. This is a very rough estimate because we don't sell necessarily all our products on a per-seat basis, but just for the purpose of modeling if you like, to get a gauge what is the additional or incremental opportunity here, it's quite significant, and these are all modules that most customers were not buying in one order although some may give us the big orders, but certainly our strategy is to expand (indiscernible) with our customers over time.
Hugh Cunningham - Oppenheimer: Thanks very much for taking my questions. I appreciate it.
Dan Bodner: Sure.
Operator: All right. Ladies and gentlemen, that concludes today's question-and-answer session on today's call. And now, I'd like to turn the call back over to Alan Roden for closing remarks.
Alan Roden: Thank you everyone for joining us tonight, have a great evening. Take care.